Operator: Good morning, ladies and gentlemen. Welcome to the Chartwell Retirement Residences Q1  2023 Financial Results Conference Call. I would now like to turn the meeting over to the CEO, Vlad Volodarski. Please go ahead, sir.
Vlad Volodarski: Thank you, [Donna]. Good morning and thank you for joining us today. There is a slide presentation to accompany this conference call available on our website at chartwell.com under the Investor Relations tab. Joining me are Karen Sullivan, President and Chief Operating Officer; and Sheri Harris, Chief Financial Officer. Before we begin, I direct you to the cautionary statements on Slide 2, because during this call, we will make statements containing forward-looking information and non-GAAP and other financial measures. Our MD&A and other securities filings contain information about the assumptions, risks and uncertainties inherent in such forward-looking statements, and details of such non-GAAP and other financial measures. More specifically, I direct you to the disclosures in our Q1 2023 MD&A under the heading 2023 Outlook for a Discussion of Risks and Uncertainties and Forward-Looking Information, for a discussion of risks and uncertainties relating to the ongoing effect of the pandemic on our business. These documents can be found on our website or at sedar.com. Turning to Slide 3. I am encouraged by the progress our teams are making in driving occupancy recovery and reducing reliance on agency staffing our key priorities this year. Our retirements operating platforms posted occupancy growth in Q1 2023 from the same quarter of last year. Importantly, our seasonal decline in occupancy in the first four months of the year was only 40 basis points a significant improvement from the pre-pandemic average declines of 180 basis points. This is important because combined with higher initial contact and significantly stronger personalized tours in leasing, especially in March and April, we are setting for the acceleration of our occupancy growth in the coming months. That occupancy growth combined with declining utilization of agency staffing will continue to support FFO improvements in the remaining of 2023. Our same property adjusted NOI increased 7.7% and FFO from continuing operations grew by 3.3% in Q1 2023, compared to the same period of last year. In Q1 2022, FFO from continuing operations included recoveries of prior period pandemic expenses of 2.2 million, of which 1.6 million was included in same property adjusted NOI. There were no comparable amounts in the first quarter of this year. Adjusted for these prior periods recoveries FFO from continuing operations increased 14.1% and same property adjusted NOI increased 11.7%. Our efforts in optimizing our property portfolio were also evident this quarter, as we completed the sale of one noncore property, and closed operations in two other underperforming noncore properties. Such closures are difficult for residents and staff. Our teams people first approach to the execution of these business decisions resulted in most of the residents of these homes replicating to other childhood residences in the markets. Based on the feedback received from the government, we expect the closing of the sale of our Ontario long-term care platform to occur in Q3 of this year. We are making great progress on many important operating marketing sales technology and financing initiatives, which I'm confident will deliver enhanced services to our residents, more opportunities for our employees, and value to our unit holders.  Karen and Sheri will cover some of these initiatives now. Let's start with operations and sales. Karen, over to you. 
Karen Sullivan : Thanks, Vlad. Moving on to Slide 4 as slide described our typical seasonal winter dip was significantly less pronounced than in previous years. Our initial contacts, personalized tours, leases, signed and permanent move ins all increased in Q1 2023 compared to Q1 2022. Importantly, we are generating higher quality leads with closing ratios rising by 2 percentage points in Q1 2023 compared to the same quarter last year. In early April, we launched phase 2 of you already senior CRM, which includes a waitlist function, mobile application, sales, activity, duration tracking, and most importantly, an automated lease generation.  We held our first Open House in January which produced strong quality leads with 5% of these prospects converting to permanent move ins within three months, a much faster conversion than in previous years. We recently held another successful two-day Open House in April, with the highest new prospect travel traffic since 2019.  In February, we launched our new brand campaign rethink senior living with a range of visual and video assets. This included six weeks of television ads in Quebec plus French and English, YouTube and social media advertising at a national level. Our new website designed for an enhanced customer experience and optimized for better organic traffic and improved conversions will be live in early May. To support the growth and prospects which are up 28% in the past 12 months, we're also introducing a marketing automation platform that will be integrated with both our website and you're already seeing your CRM. This will allow us to reach out on a regular basis to all prospects in our database with information that is relevant to them.  The team in our residences can also continue to focus on club Chartwell, our resident family referral program. This included the launch of a full 2023 calendar of monthly activation plans, including a Q1 referral contest with property specific international prizes. Turning to Slide 5, our continued focus on recruitment and retention of staff has led to a reduction in agency spending Q1 as well as a decrease in turnover rates in all staffing categories. We launched an employer brand campaign in Q1, great people doing great things with content development, advertising strategies, and a toolkit for residence managers as well as a menu of services for corporate recruiters. This centralized recruitment team continues to assist our residences in areas with high staffing agency usage, as include assigning corporate recruiters to assist in the field and Quebec City, Ottawa in Collingwood. In Q1, we held many successful hiring events at our residences across the country supported by our recruiters. In addition, we also extended our paid employee referral program, based on the success to date of this initiative. We're in the final stages of selecting our preferred staffing agencies for non-core staff in Quebec based on a recent RFP, which will assist us in controlling costs. We're also implementing Oracle recruiting cloud, which is part of our human capital management system, in order to give our residents managers the ability to directly post jobs and track resumes for hourly workers. And finally, we're also improving our onboarding and orientation programs in an effort to continue to reduce turnover. We're also rolling out ERD's electronic health record in our retirement homes beginning with Ontario and Western Canada, with future implementations in 2024, including beginning this initiative in Quebec. This tool will automate our assessments in care plans and assist us to capture and build care services more effectively. I'd now like to turn it over to Sheri to take you through our financial results.
Sheri Harris : Thank you, Karen. As shown on Slide 6 in Q1 2023 net loss was 9.2 million, compared to net loss of 3.3 million in Q1 2022. For Q1 2023, FFO from continuing operations was 20.9 million or $0.09 per unit, compared to 20.3 million or $0.09 per unit in Q1 2022. As Vlad noted, Q1 2022 included recoveries pandemic expenses for preceding years of 2.2 million for which there is not a comparable amount in Q1 2023. Excluding these recoveries FFO from continuing operations was at 14.1%. The increase in FFO from continuing operations in Q1 2023 was due to a number of factors. Higher adjusted NOI from continuing operations of 5.4 million was made up of higher adjusted NOI of 3.9 million from our acquisitions and development portfolio. Higher same property adjusted NOI of 3.6 million and lower adjusted NOI by 2 million primarily related to dispositions of two long-term care homes in DC. Higher adjusted NOI from continuing operations was partially offset by higher finance costs of 3.5 million and G&A expenses, which were higher by 1.6 million. The majority of the increase in G&A is timing related. Total FFO was 24.3 million or $0.10 per unit for Q1 2023, compared to 31.3 million or $0.13 per unit in Q1 2022. In Q1 2022, total FFO includes 9.4 million of recoveries of prior period expenses 7.2 million of which was in our long-term care discontinued operations. Excluding these recoveries total FFO per unit was up 9.2%. Slide 7 summarizes our same property operating platforms results. Our same property adjusted NOI increased by 3.6 million or 7.7% in Q1 2023, compared to Q1 2022. Adjusting for recoveries of prior year expenses in Q1 2022, same property adjusted NOI increased 11.7%. We achieved 5% same property revenue growth. In addition, our pandemic expenses were lower. These positive contributions were partially offset by higher direct property operating expenses from higher staffing costs, repairs and maintenance, supplies, food and utilities costs. Same property occupancy was 78.5% for Q1 2023 compared to 77.1% for Q1 2022, an increase of 1.4 percentage points. Our restaurant platform achieve strong growth of 2.5 percentage points, and Ontario and Quebec each achieved occupancy gains of 1.1 percentage points compared to Q1 2022.  Turning to Slide 8, you will see our monthly seeing property retirement occupancies. To date in 2023, occupancy and leasing treads are outperforming the same month of 2022 and pre-pandemic levels. As at April 30, 2023, our same prep property weighted average occupancy is expected to increase by 30 basis points in May 2023, and a further 50 basis points in June 2023. Last year, we achieved occupancy growth of 210 basis points from April to December.  With the improving leasing momentum, assuming the stable operating environment continues, we expect to exceed this occupancy growth in the remainder of 2023. Our all in rental and service rate increases, which for in place residents roll through on anniversary dates was 3.3% in Q1 2023 compared to Q1 2022. As increases come in gradually through the year, we expect that we will improve revenue growth from all in rate to between 4% and 5% for the remainder of 2023.  Although staffing costs increase in Q1 2023 due to higher compensation, this was offset by a steady decrease in agency staffing costs. With our successful recruitment, retention and cost control initiatives continuing to produce results, we expect agency staffing costs to continue to decline gradually through 2023 and into 2024. Pandemic expenses have declined significantly, and are expected to continue to dissipate along with the retraction of government directives related to COVID.  Occupancy, all in rate growth and lower agency costs and pandemic expenses are expected to continue to improve our NOI margins in 2023. Improvements in Q2 will be somewhat more muted, as we invest in additional costs to onboard new permanent Chartwell team members, as agency costs taper and occupancy and rate increases build through the year. For the second half of 2023, we expect to achieve NOI margins close to the mid 30% range. Assuming the pace of these improvements continue, we expect margins returning to pre-pandemic levels in 2024.  As noted in our year-end MD&A outlook, we expect our G&A expenses for the full year to remain in line with 2022 levels.  Turning to Slide 9, at May 4, 2023 liquidity amounted to approximately $185 million, which included 28 million of cash and cash equivalents and 157 million of borrowing capacity on our credit facilities. The majority of our debt stack is long-term fixed rate mortgage debt. We continue to use the CMHC financing program including top up financing. Our mortgage maturities remain well staggered with an average term to maturity of six years at March 31, 2023. During Q1 2023, we obtained two CMHC mortgages totaling 46.3 million, with a weighted average interest rate of 3.81% and a weighted average term to maturity of 9.1 years. For the remainder of '23, we have 121.5 million of debt maturing at a weighted average interest rate of 3.68%, of which 39.6 million is CMHC insured. Refinancing of these mortgages is expected to proceed in the normal course. At May 4, 2023, 10-year CMHC insured mortgage rates are estimated at approximately 3.8% and five year conventional mortgage financing is available estimated at 5%. The previously announced sale of our Ontario LTCs is expected to generate net proceeds of approximately 269.2 million, which we intend to use to pay down our credit facilities. On closing of the Ontario LTC sales, our unencumbered path asset pool, currently valued at 1 billion will decline by approximately 49.9 million and certain of the sold properties will be removed from the borrowing base collateral in the secured credit facility, which will result in a reduction in availability on that facility of approximately 27.1 million. As slide noted, we expect to close the main Ontario LTC sale in Q3 2023. The sale of Ballycliffe is expected to follow in Q4 2023 on completion of its redevelopment. On April 13, 2023, DBRS confirmed the triple below rating of our issuer rating and the senior unsecured debentures riding with a negative trend. We expect that with growth in EBITDA and the redeployment of proceeds from asset sales to reduce our debt levels, our credit metrics will improve significantly over the course of 2023. In April 2023, we extended our credit facilities by one year to May 29, 2025 on substantially the same terms. Our unencumbered assets will provide significant financial flexibility with our unencumbered asset to unsecured debt ratio at March 31, 2023 at 2.1 times. In December 2023, our senior unsecured debentures with a face value of 200 million will mature. We expect to refinance these debentures the new senior unsecured debentures, or other unsecured or secured debt subject to market conditions. I will now turn the call back to the Vlad to wrap up.
Vlad Volodarski: After three years of the pandemic impacted our business, we're now clearly on the path of recovery and growth. Turning to Slide 10, there is a significant embedded potential value in our portfolio and we're committed to realizing it. Occupancies key in this value creation and our teams are laser focused on execution of our operating sales and marketing strategies to accelerate this growth. We continue our work to optimize our portfolio, investing capital in our core assets to ensure their continued competitiveness, repositioning properties requiring more complex strategies and divesting non-core assets. I'm confident that these initiatives supported by the strong demographic trends, improving consumer sentiment towards retirement living, lower new construction starts and continuing shortages of long-term care beds across the country will deliver sustained growth in 2023 and beyond, and will help us to achieve our aspirational 2025 targets and employee engagement, revenue satisfaction and occupancy.  I'd like to finish by telling you a story of one of our residents pictured on Slide 11. Not only do I find these stories of our residents of staff heartwarming, but they also extremely important because they speak to the impact we have on our residents’ lives, the lives of their families, and the communities in which we operate. They speak to the kind of company Chartwell and the kind of culture we have. They are deserving to be shared.  One day our maintenance manager Ray at Chartwell Hartford was in the residence suite installing curtains and chatting and blue with the residents, Joan. The conversation turned to how much she was missing her best friend who had moved from the residence to a long-term care home about 30 minutes away. Ray knew exactly what he had to do to create a memorable experience for Jones. Later the same week with a bouquet of flowers in hand. John and Ray jumped in the charm event and all they went for a drive. As soon as Ruth saw John. Her eyes got wide and tears came rushing down her cheeks. They hugged and smiled at each other. We went on the best friends do. They were able to spend the afternoon together catching up and reminiscing.  Thanks to Ray's attentiveness and compassion, he was able to create a moment that matters for these two wonderful friends. Our teams create hundreds of these moments for our residents every week. Seeing smiles and tears of joy in our residents’ faces is why we do what we do. We would be now pleased to answer your questions.
Operator: [Operator Instructions] And the first question is from Jonathan Kelcher from TD Cohen. 
Jonathan Kelcher: First question, Sheri, you just said on you expect the Q2 margin to be somewhat muted. Is that a function of you guys sort of being doubled staff with onboarding a lot of new staff while still paying quite a bit in agency costs?
Sheri Harris: That will affect our margins in Q2, certainly, we want to invest in appropriate orientation and training for the new staff. We're onboarding and Karen mentioned, we've been very successful in hiring. So it just takes time as one ramps up the other comes down.
Jonathan Kelcher: Is there more to margins being relatively muted versus the second half of this year or is also a function of occupancy needs to grow still?
Sheri Harris: Yeah, occupancy needs to grow, rate needs to grow. What we see those rolling in through the year.
Jonathan Kelcher: And then secondly, just on the 3.4 million of pandemic expenses that you noted in the MD&A. Was that all in continuing ops or was there a portion of that that was in the discontinued long-term care properties?
Sheri Harris: The 3.4 million in total recoveries of prior year expenses in Q1 of 2022. For all operations in total FFO are 9.4 million. 2.2 million is in continuing operations and 1.6 million is in same property NOI.
Jonathan Kelcher: No, I'm talking like page 33 of the MD&A, you have for your consolidated EBITDA calcs or your EBITDA calcs. You have 3.4 million in net pandemic expenses for 2023 so far, and I'm just sort of curious as if that's –
Sheri Harris : That's the same property retirement.
Operator: The next question is from Himanshu Gupta from Scotiabank. 
Himanshu Gupta: So just on the occupancy, expected pick up 50 basis point in June. That offer or category also saw a similar increase on a month over month basis?
Sheri Harris : On the forecast demand show out to June, so for all of our top 15 markets, we saw improvements relative to seasonal trends in Q1. We're certainly seeing growth across the portfolio Quebec is doing extremely well. In terms of expectations for the remainder of the year. Last year, remember it, this time Omicron started wrapping up again, really in June of last year. And through the fall, we would have had 40 to 50 homes in outbreak and at any given time with the current trends and the stable operating environment. And we certainly believe that we will be outperforming 2022's growth.
Himanshu Gupta: And just to clarify, so are there still markets which are lagging the others? And then you have previously identified even three or four markets, which have not performed previously. So are they now in line with the overall expectation?
Sheri Harris : So 90% of our homes are trending positively and occupancy, including 20% are higher than even pre-pandemic levels. And in Q1, all of our top markets were actually better than the typical seasonal dip. And that includes even the ones that were challenged. So we see that as very positive.
Himanshu Gupta: Then shifting to NOI margins, Sheri expectation of 30% in second half of the year. Q1 was like 30% and I think Q2 you said muted NOI margin. What are the drivers, which will lead to margin normalization or expansion in the second half?
Sheri Harris : And we certainly expect to see improvements in Q2 relative to Q1, not to that level of mid-30s, yet that we expect in the back half of 2023.
Himanshu Gupta: So my question was like, what will lead to this? Are you expecting like agency staffing burden to go away? Or is it all the occupancy which is driving the NOI margin? Are there any specific cost item line items, which you think will go down, which gives you confidence of almost five points on margin expansion?
Sheri Harris : So in terms of the four factors that are going to drive results, particularly for Q2, occupancy growth, rate growth, rolling in agency cost declining seasonality and utilities, and then through the remainder of the year, it is occupancy growth, rate growth and agency expenses continuing to come down.
Himanshu Gupta: My next question is shifting to balance sheet to $200 million unsecured adventures coming to you in December. Is it a preference to go for unsecured debentures for the remainder?
Sheri Harris : Preference to go for unsecured debentures?
Himanshu Gupta: I mean, would you issue like unsecured debenture to pay off these $200 million unsecured or would you type in like CMHC insured that are other traditional mortgage financing as well? I'm just trying to see that, is there anything which stops you from not doing unsecured dimension and rather go for CMHC insured financing it?
Sheri Harris : Himanshu maybe I'll try to answer that question. Thankfully, we have a number of options available to us in terms of the refinancing of these debentures including additional CMHC financing, including some bank specific debt. And obviously unsecured debentures issuance. We are always trying to maximize the use of CMHC insured financing on our portfolio. It's always better done when the property is stabilized, stabilized occupancy, you get better leverage from that perspective and given the history of the last three years. Unfortunately, those opportunities in the short-term are limited. So we are continuing to evaluate all options available to us, including the issuance of new unsecured venture serious.
Himanshu Gupta: My last question we'll add is on distribution. So based on your NOI margin expectation for second half, and based on your occupancy increases, do you think you know the payout ratio will be below 100% by the end of the year?
Sheri Harris : That is our expectation to get too close to fully cover our distributions with AFFO at this point by the end of this year.
Operator: [Operator Instructions] And the next question is from Pammi Bir from RBC Capital Market.
Pammi Bir: Just on the agency costs that came through in Q1, how did that compare maybe on a quarter-over-quarter or year-over-year basis, in terms of the change? And then, how does that maybe stack up to, I guess, your target of getting it down 2% to 3% of revenue?
Sheri Harris: Thanks, Tom, for the question is. Every month since November, we've seen steady declines. And for Q1, we're about 15% below Q1 of last year. And we do get with the initiatives that we've seen, we've done really well and increasing our full time headcount, as well as our part time headcount, which is really important to us. We need both of those positions. Overall, we've been, as Karen mentioned, successful on recruitment and retention has been a big part of that as well. And I think part of that is our homes operating more normally now as well. We expect that the pace of the decline will continue and expect to see that improved through the spring.
Pammi Bir: Okay, sorry. Got it. And Sheri, was that 15% down from Q4 or was it a 50% lower than last year Q1?
Sheri Harris: Last year, Q1 15% lower. Each month we are declining. 
Pammi Bir: Just last one for me. In terms of the long-term care segments, it looks like one of your peers did receive some rather sizable recovery, recognizing that there are of course, differences between each company, I'm just curious if you're anticipating any recoveries at all through in Q2 at all in terms of prior period pandemic related costs and long-term care?
Sheri Harris: No, I'm not expecting any further prior period recoveries.
Pammi Bir: And any changes should we see realize this is going to be pretty short-term because the portfolio should be gone by presuming Q3. But any anticipated pickup from a funding standpoint in Q2 from the funding envelopes?
Sheri Harris: Yeah, I mean, in Q1 we are typically the envelopes are overspent because the increases the acuity increases and the regular increases come through in April, but expenses and transition early. So we do expect a little bit of recovery there. That's normal seasonality in our long-term care operations.
Pammi Bir: And then just last one, coming back to the question on margins, obviously multiple drivers there that you did mention. As you think about 2024, getting back to I think you said, pre-pandemic levels, which would, I guess put you closer to high 30%, like 39-ish, I think was the 2019 level. It's not going to be primarily a function of the occupancy gains that you expect over the course of call it the next 18 months or so, or is it the cost side that's driving it? I guess, where do you have higher confidence? Is it in the costs or is it in the occupancy gains?
Sheri Harris : Well, certainly, we'll be bringing the cost down, as I've mentioned, and we have been putting through higher than historical rate increases to absorb inflationary increases at our residents, all in rents and services rates, occupancy will drive the majority of the margin expansion.
Operator: The next question is from Tal Woolley from National Bank Financial.
Tal Woolley: I think, just wanted to stick with the payout question going forward. I guess, when we're looking sort of at a continuing operations basis, you're putting around $0.09 a quarter right now, the distributions at $0.61. I appreciate that you're expecting earnings from continuing operations to continue to rise. But historically, this has been a company that sort of run out a payout ratio, kind of in the 50% to 80% range. You got a lot more work to go in terms of the growth to kind of get back to that level. And I'm just wondering if running at 100% continuing operations is really the goal here. And what might be the other financial choices you have to make to try and get the positioning right with respect to the payout ratio, and how much you want to be able to spend on growth going forward?
Sheri Harris : It's our full attention to how to get back to conservative payout ratios. The path that we choose for ourselves to get there is by growing earnings, and recovering from this occupancy from this pandemic and recovering our occupancy. And we think we're well on the way and as I mentioned, 100% payout is certainly just a milestone that I guess people are looking for this is definitely not our goal to run the company 100% AFFO payout ratio. And we think that in 2024, we will be comfortable covering our distributions with AFFO and then continue bringing this payout ratio down as we get to our 95% occupancy goal and continue to grow a portfolio.
Tal Woolley: And how are you thinking about development going forward? Obviously, through COVID, you pull projects off the sort of active pipeline. What's your sense about how you're going to sort of begin to reengage the development part of the business?
Sheri Harris : We continue to have a pretty strong development expertise within our company. And that's a great thing to have. We have great people and we have a number of projects we talked to you about over the three years that were almost shovel ready before the pandemic hit, and we put them on the back burner these over time, I believe will be good developments. And we'll continue to pursue those developments when situation is different from today when construction costs and returns are more in line with what we would want to achieve. And then we'll continue to look for opportunities to grow portfolio, either through development activities or acquisitions or partnering with other capital providers or developers, just like we did in the past. That's certainly the intent. Right today in the short-term, none of it is going to be happening at scale, our focus is on occupancy recovery and bringing down the agency expenses.
Tal Woolley: I appreciate there's not a ton of trades, property trades in the market. But it's your expectation, like, would you, I think I asked this question maybe about a year ago now like, I think it's still the case, but just wanted to confirm cheaper to buy assets right now versus build?
Sheri Harris : Yeah, for the most part, that's what we're seeing there. The development costs are extremely high. Any new project that I know of that is in construction is by for profit operators, is targeting the very top of the market rates if not well above those. And that's the only way to make math work. And so there's by definition then, that requires few projects to be in the marketplace. And that's what we're seeing now.
Operator: The next question is from [indiscernible] Private Investor.
Unidentified Analyst : I have a question regarding any statistics that you may have for reasons that occupants might move. For example, if they might move elsewhere within Chartwell from independent living to assisted living or if they're moving to a long-term care or long-term care home or outside of Chartwell together, perhaps stats on occupants that return from the hospital to --
Sheri Harris : Yeah, so the majority of our current residents who leave, don't go to another home, some might go for assisted living, and we offer that in some of our properties. So they might do that. But mostly it is because of going into long-term care, or passing away.
Unidentified Analyst : Do you keep track of any of that data, just to see how that's been changing over time?
Sheri Harris : Very consistent over time. There hasn't been a big change in that. I don't know if you're thinking that maybe it's changed since or because of the pandemic, but it has been very consistent for years.
Unidentified Analyst : Oh, no, I'm just for transparency sake, just to just wondering if there's any data available, or posted anywhere public to see?
Sheri Harris : That's not the statistics that we report. But as Karen said, the majority of move outs are to long-term care or because of people passing away and smaller percentage would move to be closer with a family or for other reasons. But it's not a significant number of people that do that.
Operator: Thank you. There are no further questions registered at this time, I'd like to turn the meeting back over to Mr. Volodarski.
Vlad Volodarski : Thanks, everybody, for joining us today. A reminder that our virtual AGM will be held on Thursday, May 18th at 4:30 p.m. Further details will be posted on our website later today. And we're looking forward to joining us on the call then. As always, if you have any further questions, please do not hesitate to give any one of us a call. Goodbye.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And we thank you for your participation.